Operator: Good morning. Welcome, everyone, to the CEMEX Third Quarter 2025 Conference Call and Webcast. My name is Becky, and I'll be your operator for today. [Operator Instructions] And now I will turn the conference over to Lucy Rodriguez, Chief Communications Officer. Please proceed.
Lucy Rodriguez: Good morning and thank you for joining us for our third quarter 2025 conference call and webcast. We hope this call finds you well. I'm joined today by Jaime Muguiro, our CEO; and by Maher Al-Haffar, our CFO. We will start our call with an update on the progress made so far on our strategic plan, followed by a review of our business and the outlook for the remainder of the year. And then we will be happy to take your questions. Please note that although the sale of our business in Panama was successfully completed on October 6, these operations were reclassified as discontinued as of the end of the third quarter and have been excluded from our results for both 2025 and 2024. As communicated previously, we retained our admixtures business in Panama, which we will continue to operate. In the case of Couch Aggregates, after increasing our holdings to a majority stake, we are fully consolidating these assets and their results in our U.S. business effective September 1. And now I will hand the call over to Jaime.
Jaime Dominguez: Thanks, Lucy, and good day to everyone. Six months ago, I outlined our vision for CEMEX with 2 core objectives: attaining best-in-class operational excellence and delivering industry-leading shareholder returns. I also presented our strategic framework and the guiding principles to drive our company's transformation. These levers aim to enhance profitability, increase free cash flow conversion, improve asset efficiency and generate returns that comfortably exceed our cost of capital. Since then, we have worked relentlessly bringing together and aligning our entire organization with these principles. This has required sustained commitment and a willingness to embrace change at all levels. By engaging our teams and fostering a shared vision, we are ensuring that everyone at CEMEX is dedicated and empowered to deliver on our strategic plan. Today, I am pleased to share with you that while we still have much work to do, we are making important progress on our key priorities. As anticipated in our full year guidance, which assumed a significant year-over-year recovery in the second half, we're now seeing an improved performance in the third quarter. Consolidated EBITDA rose sharply, increasing at a double-digit rate with solid growth across our portfolio. Substantive margin gains in every region were largely driven by cost savings under Project Cutting Edge and higher prices. In the quarter, we made significant headway in the implementation of Project Cutting Edge with the realization of approximately $90 million in EBITDA savings. This keeps us on track to reach our 2025 full year goal of $200 million in savings. We continued executing on our portfolio rebalancing and growth strategy by divesting our operations in Panama while investing in targeted businesses in the U.S. with the consolidation of Couch Aggregates, strengthening our position in the Southeast. Our operations in Europe remain at the forefront of our decarbonization agenda and point to our climate leadership with net CO2 emissions on a per ton of cement equivalent basis ahead of the European Cement Association's 2030 target. All of these achievements serve as important stepping stones, strengthening our resolve to continue working towards our long-term goals. Third quarter results surpassed our recovery expectations for the back half of the year. Consolidated net sales are growing for the first time since the first quarter 2024 on the back of a stable volume backdrop and higher prices. Demand conditions in Mexico, while still soft, are showing signs of improvement, and Europe continues with its volume growth trend. The increase in consolidated EBITDA was supported by all regions with EMEA, Mexico and South Central America and the Caribbean region recording double-digit growth. EBITDA margin expanded by 2.5 percentage points, reaching its highest level for a third quarter since 2020. The U.S. and Europe reached record third quarter margins, while Mexico and our South, Central America and the Caribbean region posted multiyear margin highs. Net income performance in the quarter was largely explained by the prior year one-off gain from asset divestments. Adjusting for discontinued operations, net income is growing by 8% in the quarter and by 3% year-to-date. Free cash flow from operations benefited from higher EBITDA, lower interest costs and cash taxes. Importantly, the free cash flow from operations conversion rate, a key operating metric for our strategic plan, reached 41% on a trailing 12-month basis despite severance payments of $135 million. I expect free cash flow generation and the conversion rate to continue improving as we make additional progress on our strategic priorities. Consolidated volumes in the quarter were stable with growth in EMEA compensating for dynamics in other markets. While demand conditions are still soft in Mexico, we saw the first signs of improvement in the quarter. In the U.S., while year-over-year volume performance improved versus the first half of the year, we attribute this change primarily to an easier prior year comparison base. We are pleased with the positive trend in our operations in Europe. Cement volume growth was driven by higher activity throughout Eastern Europe and Spain with relatively stable performance in Germany and the U.K. Overall, while we have faced challenging volume conditions in 2 key markets this year, we remain optimistic on fundamentals going forward. With our renewed focus on operational efficiency, we're well positioned to capitalize on the strong operating leverage in our business once volumes improve. Consolidated prices were stable on a sequential basis, reflecting the customary annual first half price increases that generally prevail in our industry. On a year-over-year basis, consolidated prices are up low single digits, in line with our pricing strategy for at least covering input cost inflation. In Mexico, despite the volume backdrop, prices remain resilient with cement, ready-mix and aggregates prices increasing by a mid-single-digit rate since December. In the U.S., adjusting for product mix, aggregate prices are up 5% since the beginning of the year. In EMEA, rising cement prices in the Middle East and Africa more than offset performance in Europe. EBITDA growth was largely driven by our self-help measures and higher prices. Costs across the various categories declined by close to $80 million, accounting for approximately 2/3 of the like-to-like increase in EBITDA. Consolidated margin expanded by 2.5 percentage points with all of our regions as well as our 3 core products recording relevant margin gains. After a year of FX headwinds, we're benefiting this quarter from stronger currencies versus the dollar. In our Urbanization Solutions portfolio, better results in admixtures are partially compensating for still challenging conditions in other businesses. Going forward, our Urbanization Solutions business will primarily focus on admixtures, mortars and concrete products, which we believe offer strong synergies with our traditional core business as well as high margins. Under Project Cutting Edge, we have committed to an annualized recurring EBITDA savings of $400 million by 2027, with half related to overhead reduction. Importantly, with most of the actions required to achieve the overhead savings already done, we anticipate this effort to deliver about $75 million in the second half of 2025 and $125 million in 2026. We achieved about 40% of the 2025 overhead savings in the third quarter. We're also making progress on the implementation of the operating initiatives, including fuel efficiency, optimization of fuel mix, improvements in logistics and supply chain, among others. As a result of these efforts, both cost of goods sold and operating expenses as a percentage of sales are declining throughout all regions, leading to an expansion in EBITDA margin. With total EBITDA savings captured in third quarter of $90 million, we remain on track to reach our full year 2025 target of $200 million. As we go into 2026, we expect additional progress on Project Cutting Edge to further support margins. Complementing Project Cutting Edge, our ongoing business performance reviews should provide more visible improvements in EBITDA, profitability and free cash flow during 2026 and beyond. I am confident that by working with a clear focus on our key priorities of operational excellence, free cash flow conversion and return on capital, we will continue to identify opportunities to further optimize our operations. We're also advancing on our portfolio rebalancing efforts, creating shareholder value through disciplined capital allocation. As our growth strategy shifts towards prioritizing small to midsized acquisitions, we will reallocate capital to opportunities that are immediately accretive. We will continue seeking potential divestments in non-core markets to strengthen our position in the U.S. with a clear focus on aggregates and building solutions such as admixtures and mortars, which strongly complement our cement and ready-mix businesses. Allow me to emphasize that we will be disciplined when evaluating potential growth opportunities, following our return criteria and protecting our investment-grade capital structure. A clear example of this value creation approach is the recently announced transactions in Panama and Couch Aggregates in the U.S. We completed the divestment of our operations in Panama at an attractive multiple of about 12x. At the same time, we allocated part of the proceeds to acquire a majority stake in Couch Aggregates, a leading player in the aggregates materials industry across the Southeastern U.S. with an implied valuation of a high single-digit multiple after synergies. We expect that in the short term, this investment will offset the loss of EBITDA from the sale of our operations in Panama. This transaction is strengthening our aggregates footprint in the U.S., providing significant synergies and allowing us to better serve customers with a more complete offering. I am highly encouraged by our achievements in the quarter, which confirm that we're moving in the right direction, setting a strong foundation to position CEMEX as a more focused, agile and high-performing company. And now back to you, Lucy.
Lucy Rodriguez: Thank you, Jaime. We are encouraged by our third quarter performance in Mexico. EBITDA grew 11%, marking the expected inflection point in quarterly performance underlying our annual guidance. A leaner cost base and higher prices drove this double-digit growth despite lower volumes. After a challenging first half, volume trends suggest an improvement in demand conditions. Average daily cement sales volume outperformed historical sequential seasonality patterns in the quarter despite heavy rains in August and September. In bagged cement, we benefited from a gradual rollout in rural road projects as well as other social programs. While demand in the formal sector remains soft, there are promising signs of recovery in the near term. In infrastructure, contracted volumes in our ready-mix backlog have increased in each of the last 4 months with several rail projects expected to commence construction soon. We are seeing incremental activity in projects related to the 2026 World Cup in Mexico City, Monterrey and Guadalajara with investments in roads, metro lines, airport terminals, stadium renovations and hotels. The social housing program, which was recently expanded to a goal of 1.8 million units during the administration's 6-year term is accelerating. We are already participating in the construction phase of several projects, which represent about 26,000 units with a similar amount in the planning phase. Prices for cement continued their positive trajectory with a sequential increase of 1%. Over the first 9 months of the year, cement, ready-mix and aggregate prices are up by mid-single digits, working to offset input cost inflation. We recently announced a mid-single-digit price increase in bagged cement. Project cutting-edge initiatives are already delivering relevant operational improvements, reflected in the 5 percentage points of margin expansion in the quarter. We believe we have additional opportunities to further drive margins in 2026. Importantly, the 33.1% EBITDA margin achieved in the quarter was the highest level for our Mexican business since 2021. Going forward into 2026, as the government enters its second year in office, we expect to see the customary pickup in infrastructure spending as well as potential benefits from the upcoming renegotiation of the USMCA trade agreement. As demand conditions improve, operating leverage should continue supporting profitability in Mexico. Our operations in the U.S. reached a record third quarter EBITDA and EBITDA margin, driven by increased cost efficiencies and higher prices. While year-over-year volume performance improved in third quarter, this was largely due to an easy comparison base resulting from adverse weather conditions in the prior year. Adjusting for ready-mix asset sales and the consolidation of Couch Aggregates volumes for our 3 core products declined by 1%. Demand continues to reflect strength in infrastructure, offset by persistent softness in the residential sector. With 3 consecutive years of volume declines, we have seen increased competitive pressure in select markets within our footprint, explaining the slight decline in sequential cement prices. In aggregates, we continue to experience robust pricing with prices adjusting for product mix, rising 5% since December. Our efforts to improve cement kiln efficiency continue to pay off in the U.S. with domestic production replacing lower-margin imports leading to relevant EBITDA gains. In our aggregates business, which is responsible for about 40% of EBITDA within the U.S., we continue to focus on initiatives to make our operations more efficient as well as expand our production. The recent upgrade of our Balcones quarry in Texas, one of the largest quarries in the United States, is optimizing our cost structure and contributing to higher margin. The recent consolidation of Couch Aggregates, along with other expansion projects in Florida and Arizona are expected to increase our aggregate production capacity by about 10% in 2026. Going forward, we expect infrastructure to continue driving demand as IIJA transportation projects continue to roll out. About 50% of funds under IIJA have been spent with peak spending levels expected during 2026. We remain optimistic about the outlook for the industrial and commercial sector, which continues gaining momentum with health care projects, data centers and chip manufacturing facilities being planned in our markets as well as relevant works in the Cape Canaveral. While there is continued weakness on single-family residential, we see strong potential over the medium term as mortgage rates decline and market sentiment improves. It is important to highlight that as in the case of Mexico, operational leverage should result in additional benefits once volumes recover. Our EMEA region continued with its strong performance, reaching new records in EBITDA and margins in both Europe and the Middle East and Africa. In Europe, high single-digit growth in cement volumes was mostly driven by infrastructure throughout Eastern Europe, with housing activity also boosting demand in Spain. In the U.K. and Germany, volumes are stabilizing. Infrastructure activity driven by EU funding, along with a gradual recovery of residential should continue supporting construction in the region. In the Middle East and Africa, ready-mix and aggregate volumes expanded by 13% and 1%, respectively. The slight decline in cement volumes is explained by a temporary regulatory impact in Egypt with demand already improving on strong market fundamentals. Higher cement prices in the Middle East and Africa more than offset dynamics in Europe. While price performance in Europe is largely explained by geographic mix, we have also faced some limited competitive pressure in specific markets. For the full EMEA region, cement ready-mix and aggregate prices are up low single digits since year-end. Our European operations remain at the forefront of our decarbonization efforts, having already surpassed the European Cement Association's 2030 consolidated net CO2 emissions target, further reinforcing our position as an industry leader. The implementation of the carbon border adjustment mechanism in 2026, along with the gradual phaseout of the free EU ETS allowances should be supportive of cement prices next year and beyond. We remain optimistic on the outlook for the region with a continued positive trend in infrastructure and further recovery in residential. Our South Central America and the Caribbean region posted impressive results with EBITDA rising by 54% and margin expanding by 6.8 percentage points. This strong performance was driven by several factors. The completion of the debottlenecking project in Jamaica, allowing us to substitute low-margin imports with domestically produced cement, benefits from savings realized under Project Cutting Edge, improved demand conditions in both Colombia and Jamaica and a more favorable prior year comparison base. In Colombia, demand is being driven by the informal sector with a rebound in bagged cement volumes and the metro project in Bogota. In Jamaica, we are seeing tourism-related developments along with improved bagged cement sales supported by remittances. Sequential prices for cement and ready-mix in the region are broadly stable with variation explained by regional mix. We remain optimistic on the medium-term outlook for the region, where improved consumer sentiment and formal construction are expected to drive demand. And now I will pass the call to Maher to review our financial development.
Maher Al-Haffar: Thank you, Lucy, and good day to everyone. We are very pleased with our performance in the quarter. On the back of single-digit growth in our top line, we delivered 19% growth in EBITDA. Free cash flow from operations was close to $540 million, an improvement of more than $350 million versus third quarter of last year. The year-over-year growth was driven by the initial effects of our cost-cutting efforts, lower maintenance CapEx, interest expense and taxes. Adjusting for extraordinary items such as the payment of the Spanish tax fine in 2024, discontinued operations and severance payments, this year, free cash flow for the quarter grew 29% to approximately $600 million. In line with our normal seasonality, we saw a divestment of more than $130 million for working capital during the third quarter, and we expect this favorable trend to continue in the fourth quarter. Our year-to-date average working capital days stood at negative 10 days, an improvement of 5 days versus the same period last year. Our free cash flow conversion rate reached 41% for the trailing 12 months ending in September versus 35% for the full year 2024. As mentioned earlier, we are seeing the initial benefits from our efforts to optimize our cost base under Project Cutting Edge. During the third quarter, cost of goods sold as a percentage of sales was 71 basis points lower year-over-year, while operating expenses as a percentage of sales were 164 basis points lower. Energy cost on a per ton of cement basis declined by 14% in the first 9 months, driven by lower fuel and power prices and a continued improvement in clinker factor and thermal efficiency. Record net income of $1.3 billion for the first 9 months of the year was driven primarily by the sale of our operations in the Dominican Republic, a favorable FX effect and lower financial expenses. Our leverage ratio under our bank debt agreements stood at 1.88x in September, moderately higher than at the end of last year. We expect our leverage ratio to end 2025 below last year's level. We have fine-tuned our full year guidance for working capital and now expect a range of $0 to $50 million in incremental investment compared to the prior year. In the case of cash taxes, we now anticipate $350 million in 2025, which is $100 million lower compared to our previous guidance. And now back to you, Jaime.
Jaime Dominguez: Thank you, Maher. In light of our year-to-date results and reflecting the progress achieved in Project Cutting Edge, we are maintaining our full year EBITDA guidance unchanged, expecting a flat performance versus 2024 with potential upside. Based on more visibility, we have made some small adjustments to elements in our free cash flow spend guidance that should positively impact 2025 free cash flow generation. We remain focused on the implementation of our strategic plan, delivering EBITDA savings under Project Cutting Edge, higher free cash flow conversion rate and returns above cost of capital. We will keep you updated as we continue making progress towards these objectives. And now back to you, Lucy.
Lucy Rodriguez: Before we go into our Q&A session, I would like to remind you that any forward-looking statements we make today are based on our current knowledge of the markets in which we operate and could change in the future due to a variety of factors. In addition, unless the context indicates otherwise, all references to pricing initiatives, price increases or decreases, refer to our prices for our products. And now we will be happy to take your questions. [Operator Instructions]
Operator: First question comes from Carlos Peyrelongue from Bank of America.
Carlos Peyrelongue: Congratulations, Jaime, Maher and Lucy, on the strong results. My question is related to cash conversion. It improved materially in the last 12 months. What should we expect for next year and 2027 besides the cost-cutting that you mentioned as part of Cutting Edge, what else could drive higher cash conversion in the next 2 years?
Jaime Dominguez: In 2026, I'm targeting around 45% free cash flow conversion from operations, and you do expect further improvement beyond '26. We should be targeting around 50% free cash flow conversion from operations. What is driving and will drive this improved performance is basically a reduction in strategic CapEx and an optimization in platform CapEx. We will continue reducing interest expenses for the most part. So that's how we're going to do it, and I feel pretty comfortable about 2026 45% free cash flow conversion.
Operator: The next question comes from Adrian Huerta from JPMorgan.
Adrian Huerta: Congrats on the results. You touched base a little bit on my question, which is regarding Mexico, especially for 2026. You mentioned the increased backlogs in the last 4 months on the infra side. We've seen different actions kind of happening but not being advertised on the infra side. In prior presidential changes, we saw volumes recovering 30%, 50% of the volumes lost in the prior year. It seems like this year; volumes are going to be down high single digits as you're expecting. Is that -- given what you're seeing so far, can we say that we could potentially at least see that type of recoveries closer to half of the volumes lost this year? And if you can give us additional color on what else you're seeing that is giving you confidence on that?
Jaime Dominguez: Adrian, thanks for your question. Well, first of all, I don't think I would be crazy if I told you that volumes -- the demand volumes in Mexico next year should grow by no less than 2.5% to 3% and when demand volumes grow, some of it driven by infrastructure, CEMEX tends to do very well because we do have an extensive technical and operating capability to serve complex infrastructure projects, both highways and rail. This means that most probably, we would be gaining some market share next year in the infrastructure sector as it gets back on track, potentially 1 percentage point market share, which is what we normally lose when infrastructure becomes weaker. So we're ready to see that unfolding next year, supported by infrastructure. To give you a little bit more of examples, right now, we're executing projects such as Escolleras, Dos Bocas, terminal de carga in Quintana Roo, Camino Real, Colima, [indiscernible] La Primavera in Sinaloa. And we do have an extensive number of projects in the pipeline, [indiscernible], so on and so forth. So definitely, we see a better outlook for Mexico for next year. To what extent, I'm comfortable saying that demand will grow by at least 2.5%, close to 3%. Please also note that we do see already the social housing unfolding. As Lucy highlighted, we are supplying already projects. And when I talk to our partners, customers, they are becoming more excited about the social housing program. And then I don't know what you think, Adrian, but if interest rates in Mexico continue dropping a bit, that should be supportive of a very resilient formal housing sector, which has been surprisingly good so far this year. I hope I have answered your question, Adrian.
Lucy Rodriguez: Thanks, Adrian. And if I could just complement, we, of course, will continue fine-tuning our thoughts on next year, and we'll give guidance on Mexican volumes in early February, but we are quite positive. The next question comes from Francisco Suarez from Scotiabank.
Francisco Suarez: Congrats on the wonderful execution, exciting times for sure. My question relates with the massive EBITDA margin expansion in Mexico in the quarter. Can you give us a little bit of color on the breakdown roughly of the 500 basis improvements between, say, Project Cutting Edge, how much of that was also driven by lower pet coke prices? How much was by thermal substitution, perhaps prices or any other thing that you can give us a little bit more color?
Jaime Dominguez: Francisco, thanks for your question. Well, yes, we had a solid 5-percentage-point expansion. It explains basically around the following: #1, prices close to 4-percentage-point. Then very pleased with our SG&A and corporate reductions that contributed with around 0.8-percentage-point improvement. variable cost, 0.9-percentage+point; fixed cost around 0.3-percentage-point. When you look at variable cost, energy continues to be a tailwind, both electricity, although there, I must acknowledge that last year, we had a one-off, but still it's tailwind as we take advantage of the wholesale electricity market, right? And then positive contribution of fuels, around 1.1-percentage-point. So that was also encouraging with a minus 18% decrease in unitary fuel cost. So I hope that I answered your question.
Francisco Suarez: So that creates a wonderful foundation for further improvements in 2026 on your operating year-end, isn't it?
Jaime Dominguez: Well, in Mexico, particularly, we're targeting to be the most efficient operator in the country. We've done extensive benchmark with others, although we have a different business model Francisco, mainly in retailing, but we are seeking to be best-in-class in margins in Mexico.
Lucy Rodriguez: Thanks, Paco. And to your point, Mexico is the region that probably has contributed the most to date in terms of Project Cutting Edge, and we do believe that next year a lot of that will continue. The next question comes from Anna Schumacher from BNP Paribas. Is the industry deprioritizing CCUS? I appreciate CEMEX has always taken a pragmatic approach. Could your schemes like Rudersdorf be delayed? And how will you decide?
Jaime Dominguez: Thanks for your question. You're asking me whether the industry is deprioritizing CCUS, among other things, I won't answer on behalf of the industry, but I'll give you a color on how we think in CEMEX. We've always prioritized first traditional delevers -- sorry, levers to decarbonize. And on that, we're doing pretty well. We continue to see a good runway to continue deploying traditional levers, particularly a significant reduction in clinker factor, further improvement in energy efficiency and beyond Europe, a ramp-up of alternative fuels with biomass content. CCUS continues to be a lever that CEMEX will need a midterm. And we will deploy CCS projects provided that they are accretive to value creation. And for the time being, for that to happen, we need 2 things: significant subsidies on both CapEx and OpEx and then green premium. And in that -- regarding the latter, we are excited about potential bilateral agreements with some offtakers under the book-and-claim scheme that we're working on. But again, although I recognize that CCUS is fundamental for net zero we will not deploy CCS that destroys value. We need to do more work on regulations, right? And we will not deploy CCS in an asset that we might not continue running long term. So as we speak, we're reviewing, particularly in Europe, right, our asset footprint because we do see opportunity to optimize our asset base. Some of our kilns might be converted to produce calcium clays, while we do micronization technologies to reduce clinker factor and introduce new blends. And our priority for decarbonization continues to be Europe, followed by California. And everywhere else, we're profitable and accretive to shareholder returns, we will continue decarbonizing because it continues to be a priority. Thanks, Anna, for the question.
Lucy Rodriguez: The next question comes from Yassine Touahri from On Field.
Yassine Touahri: Congratulations for the fantastic results. My question would be around the price for next year. Could you -- have you already sent a letter to your clients in the U.S. and Europe for 2026 price increase? Could you provide an order of magnitude of the price increase that you would like to deliver in those 2 regions? That would be very helpful. And could we see -- I think prices in the U.S. and Europe were a little bit muted in 2025. Could we see a change in direction next year?
Jaime Dominguez: Yassine, thanks for your question. We haven't yet sent our price increase letters to our customers. We're working on it but allow me to share with you the way I'm thinking -- the way we're thinking. Across all our markets, our pricing strategy should more than offset input cost inflation. We're excited about Europe because next year, we will begin to see the CBAM, which could add between EUR 5 to EUR 10 per ton when you think about what importers would have to start paying. In the case of CEMEX, right, we do have an advantage because in Europe, we have much lower CO2 footprint on clinker and cement terms. But the way we're thinking is we understand that competitors, local producers do not have enough CO2 surpluses, would need to buy CO2 credits at EUR 77, EUR 75 per tonne. And then you need to include the CBAM from imports because the Turks, the Algerians and others do have a CO2 footprint per tonne of clinker and cement that is much higher than the European benchmark. And next year, in 1Q, the European Union will publish the new benchmark. It could be as low as 650 kilos per tonne of clinker. So it means that we're going to have the CBAM. And if producers do the math the way I do it, which is thinking about the CO2 incremental cost, right? I'll say that there could be interesting pricing characteristics in Europe. As we speak, I'm reviewing macro market by macro market, but I'm excited about that. And in the U.S., we will -- unlike in 2025, 2026, we will, right, target price increases, hopefully to more than offset input cost inflation, recovering what the opportunity lost in 2025. Now what's new is tariffs, right, and potentially some FOB cement and clinker price increases out of the Med Basin, which could be positive for the Gulf Coast and the Eastern coastal U.S. markets. So I hope that I have answered your question.
Lucy Rodriguez: And the next question comes from Ben Theurer from Barclays.
Benjamin Theurer: Jaime, congrats on the great execution here once again. I wanted to follow up real quick on the performance in the U.S., particularly as it relates to volume. Clearly, you've highlighted it was still down across all segments. But I wanted to understand if you're seeing any regional differences in the performance. And if you could maybe dig a little bit deeper into the subcategories, residential versus industrial, commercial and infrastructure as it relates to the U.S. volume in specific.
Jaime Dominguez: Ben, thanks for your question. Yes, as we speak, and I'm relating more to the third quarter, we saw weaker volumes in Florida and California and Arizona, partially compensated by growth in Texas, Colorado and the Mid-South. And the outlook looks like this. We do continue to see strong infrastructure. Nothing tells us that, that dynamics will change next year. On the contrary, because of what Lucy explained about the infrastructure bill and how it will -- the investment will peak in 2026. We continue to see data centers, chip factories, second phases and projects around chip factories, some high heavy commercial jobs, right? But what continues to be weak, and I don't think it will recover next year is single-family homes is residential. You know that mortgage rates are reducing, now around 6.3%. I think mortgage rates will stay for longer at around 6%. And I believe that we need to see the Americans who need to buy a house to emotionally understand that mortgage rates might not drop significantly sooner, and that might trigger the need to jump and purchase a house. But I don't think that's going to happen in the short term in '26. So I'm expecting still a -- stabling though, stabilizing, though, but a weak residential, and I hope to see that recovery in 2027. I do expect U.S. demand to grow next year low single digit, though.
Lucy Rodriguez: The next question comes from Alejandra Obregon from Morgan Stanley. Can you elaborate on the evolution of your optimization plans and yield improvement initiatives at Balcones in Texas? And how can these translate into profitability improvements in Texas as you substitute imports with domestic production? Is there room for similar improvements in any other plant in the U.S.
Jaime Dominguez: Alejandra, thanks for your question. First, allow me to explain a little bit what we're doing in Balcones. We are using artificial intelligence to help operators run our raw mills, the kilns and the cement mills in autopilot, allowing the artificial intelligence to take on real-time decisions on operating parameters. And what we're finding is that we do see between high-single-digit to double-digit, low teens yield increases. Basically, the artificial intelligence uses good data much faster to adjust operating parameters that otherwise a human being will need to wait for days, particularly when it comes to adjusting chemistry because of quality adjustments of raw materials. So it's very exciting. And clearly, we do see the opportunity to expand and scale the technology to all our cement plants in the U.S. because all of them present opportunities for increased yield. This year, we've seen a solid improvement that led to so far, an increase in cement production of more than 500,000 short tons. And that's clearly expanding margins as we replace imports, but also as we operate in a stable environment, which leads to improved energy efficiency. Do expect more to come. The potential is simple. I'm targeting -- we are targeting, my U.S. folks are targeting incremental 1 million short tons more from our current asset base. Clearly, the technology will help. And that means that you should expect further cement margin improvement in the U.S. going forward. It could be as high as 2 to 3 percentage points midterm. Thanks for the question, Alejandra.
Lucy Rodriguez: The next question comes from Gordon Lee from BTG Pactual.
Gordon Lee: Congratulations on the results. Just a quick question, Jaime, and you addressed this a little bit in your opening remarks, but I was wondering if you could speak a little bit more about the Urbanization Solutions business and specifically, the decline that we've seen year-to-date in revenue and EBITDA, is that a function of the completion of projects? Or should we interpret that as a strategic deemphasizing of its relevance within CEMEX or maybe also as a product of the implementation of Cutting Edge?
Jaime Dominguez: Gordon, thanks for the question. The reduction in sales and EBITDA are unrelated to completion of projects. The reason why you see a drop in sales and EBITDA is mainly twofold. It's concrete block Florida, for obvious reasons, weakness in residential and then is Mexico infrastructure because of our concrete paving solutions because of much lower infrastructure activity. Those 2 continue to be core to everything we do because as you can understand, it's very synergetic, right, upstream with raw materials, cement, admixtures, aggregates, but also distribution and downstream with a similar customer base. But because you're asking the question about deemphasizing, what I can tell you is that we are reviewing the umbrella of Urbanization Solutions. And I do see some businesses that will not remain under Urbanization Solutions as such businesses because most of what we report is on internal transactions. Let me give you an example that is New Line Transport business in Florida. So that's a good example, 98% of what we do is internal, and we do sell to third-party shippers, but we're not planning to grow that business. So any business that we are not planning to grow going forward would not be part of Urbanization Solutions. As we speak, we're very excited about admixtures. We will continue to be there. It's a very solid business. And next year, we will begin to share more data about every vertical. I'm very excited about mortars, stuccos, renders because it's very synergetic and we know it very well, right? And also recycling concrete, recycling aggregates, recycling construction demolition waste where it makes sense, micromarket by micromarket and concrete products such as sleepers, concrete block and infrastructure, which I see it is a vertical that we -- where I see significant opportunity for accretive growth. So I hope that I have answered the question, Gordon.
Lucy Rodriguez: The next question comes from Anne Milne from Bank of America.
Anne Milne: My question is on the debt profile. So you -- a couple of things. One, you have large maturities next year. It looks like most of that is in the debt market. And if you could just give us an idea, sort of some of the thoughts you have for that. But also your average life is 3.7 years, your yields on your bond now are pretty attractive. I mean, spreads on your 31 bonds are somewhere between 20% and 25% over Mexico, just about 100 and something, low hundreds over U.S. treasuries. Just wondering if you were thinking maybe, you could extend out a little bit from here. And then related to that, I like the number of net debt with a 5 handle, $5 billion or something. And I also like leverage with the 1.88 number. I also know that CEMEX is looking on doing some -- potentially some acquisitions. Do you have a range where you'd like to see leverage going forward? So it's all on the debt profile.
Jaime Dominguez: So I will pass the word to Maher to answer the first part of the question. So Maher, you'll take that. I just want to tell you about the leverage. Look, I'm more comfortable using the fully loaded leverage. I don't think that bank leverage has any meaning going forward. And the range I want to set up is between 1.5x to 2x, fully loaded. Back to you, Maher, you may answer the question.
Maher Al-Haffar: Yes. Thank you, Jaime. And thank you, Anne, for the question. I -- we're totally aligned, and we definitely think that from the rating agencies' perspective and the debt markets, using the fully loaded leverage ratio makes a lot more sense. And to your question about balancing between investment grade versus potentially slightly higher leverage, we feel very comfortable with that, especially as our EBITDA improves. over the next 12 to 24 months and beyond. We think that, that will give us -- will -- definitely that plus cash on hand as a consequence of some of our portfolio rebalancing efforts, we should have more than adequate M&A capacity without really risking our ratings and in fact, maybe driving our ratings towards the BBB, solid BBB metrics. So we're very comfortable with that. We don't see any divergent kind of forces in that respect. Now in terms of the maturities, we definitely -- we agree with you. We like the yields that we see. Of course, we'd like them to be lower. And certainly, we'd like them to tend towards our peers, which are probably a good 15% to 20% lower than ours. And definitely, we are looking at extending maturities. One thing I would like to highlight to everybody is that if we include the 2 subordinated notes that we have, which is $2 billion into our debt profile structure, just hypothetically kind of giving them a 10-year tenor from issuance date, our average life would be closer to 5 years. Having said that, the market on the long end is very attractive. So definitely, we are thinking potentially about extending maturities. Of course, we're always balancing cost of debt versus tenor. But certainly, the positivity of the markets leads us to believe that that's something that perhaps we should consider next year. And as you know, there are some maturities coming up. There's the loan -- the term loan facility is getting closer. We have a EUR 400 million bond that is due next March. So we have a lot of flexibility in terms of liability management and our ability to take advantage of that. The other thing is one of the subordinated notes resets next year. The 5.125 resets next year to -- by quite a bit, which again gives us the opportunity to potentially do something with that as well. So thank you. I hope that answered your question.
Anne Milne: Yes. I just have one clarification. When both you and Jaime mentioned fully loaded debt, are you talking about financial debt and leases or something in addition to that as well?
Maher Al-Haffar: No, we're talking about adding the subordinated notes to the total debt outstanding.
Anne Milne: Okay. So that would be in the 1.5 to 2 range figures.
Maher Al-Haffar: Right.
Lucy Rodriguez: And the next question comes from Jorel Guilloty from Goldman Sachs Goldman Sachs.
Wilfredo Jorel Guilloty: Mine is a more big picture question. So I was wondering if you could provide some color as to how you see the capacity of CEMEX after Project Cutting Edge is completed in 2027. In other words, given the leaner structure you're pursuing, what will be the capacity of the company that we see at the other end of this? Are you thinking that it's a lower yet more profitable volumes? Is it a larger company growing through acquisitions with a leaner base? Just to get a sense of this cost structure vis-a-vis your capacity going forward?
Jaime Dominguez: Jorel, thanks for the question. What we see going forward for the time being is a company that achieves excellence in operations and very strong best-in-class shareholder returns. This means that as volumes grow and markets recover, we have very significant operational leverage, which we will enjoy. We want to achieve -- we will have a very responsible capital allocation with very strict parameters and always credit investment rating no matter what we do and a company that does return cash to shareholders. Yes, we do want to do bolt-ons in the U.S. first around aggregates, mortars, renders for the most part, right? And a company that relentlessly looks at its portfolio to have businesses that deliver ROIC above cost of capital and free cash flow conversion at a consolidated level of no less than 50%. For the time being, we are prioritizing the U.S., Mexico and Europe as the regions where we want to grow. And finally, socially responsible, right, adding value to the communities where we do business, and doing so sustainably from a safety standpoint, right, attracting best talent in the industry and decarbonizing while also taking care of biodiversity and water management. So that's what I can tell you for the time being, Jorel. Thank you for your question.
Lucy Rodriguez: We have time for one last question, and it's coming from Adam Thalhimer from Thompson, Davis.
Adam Thalhimer: Congrats on the strong Q3. And I was curious if you could update us, Jaime, on -- and you just touched on this a little bit, but the outlook for U.S. M&A. What are you looking at? What's ideal and potential time frame?
Jaime Dominguez: Adam, thanks for your question. We -- first of all, we are strengthening our team with a few key additions who are bringing great expertise and capabilities on bolt-on acquisition strategy and deployment, and that was important. At #2, we are strengthening the pipeline. So far, we are looking at 100 family-owned aggregate targets in the U.S. And we're beginning to engage with many of them with flexible approaches as we did in Couch, as an example, meaning we entered with a minority equity option to acquire a majority equity holding, so on and so forth or full acquisition. We're also looking at mortars, stuccos, renders because, Adam, those businesses, we know how to run, and they are very synergetic because upstream, right, those businesses consume our cement, our cementitious, some of our sand and our admixtures solutions. And it also brings distribution synergies, I mean, logistics and more importantly, customer base synergies. And then we do want to explore some niche opportunity in admixtures as well in the U.S. and elsewhere in Europe primarily. So that's what we're looking at for the time being. And allow me to take advantage of your question just to highlight that, again, we will anchor any decisions to preserve our IG rating. And we've got very clear metrics for acquisitions, such as, you know, free cash flow per share, which must be accretive in year 1, definitely ROIC over WACC plus 100 basis points in midterm, any acquisition we do with synergies with around 3% of sales so that we drive the multiple to high single digit. right? And again, focus is going to be on aggregates and mortars, renders, and stuccos. I hope I answered your question, Adam. So muscle is -- we're working the muscles, and we will be deploying as the opportunities come along, nurturing them in the U.S.
Lucy Rodriguez: Thank you, Adam. We appreciate you joining us today for our third quarter results, and we hope that you will come back again for our fourth quarter 2025 webcast on February 5, 2026. If you have any additional questions, please feel free to contact the Investor Relations team. Many thanks.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect your lines. Good day.